Operator: Good day, and thank you for standing by. Welcome to the Almirall 9 Months 2025 Financial Results and Business Update Conference Call and Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to our first speaker today, Pablo Divasson, Head of IR. Please go ahead, sir.
Pablo Divasson Fraile: Thank you very much, Nadia, and good morning, everyone. Thank you for joining us for today's quarterly earnings update and review of Almirall's 9 months financial results of 2025. As always, we are sharing the slides we are using today in the Investors section of our website at almirall.com. Please move to Slide #2. Let me remind you that the information presented in this call contains forward-looking statements, which involve known and unknown risks, uncertainties and other factors that may cause actual results to materially differ from what we are sharing today. Please move to Slide #3. Presenting today, we have Carlos Gallardo, Chairman and Chief Executive Officer; Jon Garay, Chief Financial Officer; and Karl Ziegelbauer, Chief Scientific Officer. Carlos will start with the business highlights covered covering the first 9 months of 2025, followed by an update specifically on biologics and the key growth drivers of our medical and dermatology portfolio. Karl will provide you with an R&D status update presenting our pipeline. And Jon, will then talk you through the financials before Carlos concludes the presentation, and we open for questions. I will now hand over to Carlos Gallardo, our Chairman and CEO. Please move to Slide #5.
Carlos Gallardo Piqué: Thank you, Pablo, and good morning to everyone on the call. Almirall delivered strong year-to-year-to-date results in 2025, and we are confident to reiterate our guidance, mid-term outlook and peak sales expectations. Our consistent growth is powered by the success of our medical dermatology portfolio, where we continue to deliver innovative treatments and broaden access for patients to support our physician community. Ebglyss delivered strong momentum in the third quarter of 2025 as European markets start to scale with launches now completed in the key countries. Encouraging uptake in newly launched geographies reinforces our confidence in the product's positioning and growth potential. Ilumetri continues to deliver steady year-on-year growth, keeping us on track to achieve peak sales of over EUR 300 million. Wynzora now capturing leading market share in key countries, together with Klisyri, strong performance across Europe are 2 other important contributors to our European revenue base. This underscores the breadth of our dermatology portfolio and Almirall's position as a comprehensive provider one-stop shop for diverse dermatological needs. We built our strong presence in the medical dermatology field throughout the year. In addition to participating in major events such as the 2025 annual AAD meeting, we reinforced our presence at the 2025 European Academy of Dermatology and Venereology Congress in Paris. Our contributions include 44 scientific abstracts, 2 expert live symposia and the presentation of 2-year positive study data on Ilumetri as a late-breaking abstract. On the clinical side, we are excited to share that the anti-IL-1RAP antibody has entered Phase II for Hidradenitis Suppurativa. We also plan to start Phase II studies in the upcoming months for the other proof-of-concept assets. Karl will soon provide a full update on the recent developments in our pipeline. Please move on to Slide 7 for an update on our biologics portfolio. In the first 9 months of 2025, Ilumetri generated EUR 171 million in net sales, marking a steady 12% growth year-on-year. We remain on track to achieve over EUR 300 million in peak net sales even as the product and the class start to reach a more mature stage in its growth curve. Ilumetri continues to be well positioned in the psoriasis market, keeping its market share and consolidating its position as a leading product within the leading anti-IL-23 class. The successful launch of a 200-milligram formulation provides greater dosing flexibility for patients, enhancing its competitive positioning and supporting long-term growth. In addition, 2-year positive study data presented at the 2025 EADV highlights the product long-term value and the overall impact on patient well-being. Please move on to the next slide on Ebglyss highlights. We view Ebglyss as one of the most successful atopic dermatitis launches in recent years since we gained approval in Germany in December 2023. It has quickly become our second best-selling product. Meanwhile, the advanced therapy segment within the atopic dermatitis market in EU5 continues to expand rapidly, growing at an annual rate of around 30%. Sales for the first 9 months of the year nearly quadrupled year-on-year to EUR 75.5 million, while Q3 sales reached EUR 31 million. Our focused execution has delivered solid quarterly growth momentum as European markets are scaling at a healthy pace following launches in most countries, with Portugal and Ireland undergoing negotiations. Encouraging early traction and market share uptake are evident across new geographies, building confidence in Ebglyss growth trajectory and positioning it as a key driver for future expansion. It is important to note that good reimburse reflects the high unmet need in atopic dermatitis and the value health care systems place on innovation. We are continuing to expand and increase brand awareness across multiple markets within the first year, with which we are very pleased. In terms of clinical advancements, our collaboration with Lilly remains highly productive, fostering valuable knowledge exchange that drives ongoing market development. At EADV 2025, we presented numerous study results on lebrikizumab, reinforcing our commitment to advancing care in atopic dermatitis. This included new real-world evidence from the ADlife study, long-term extension data up to 3 years patient-reported outcomes and safety analysis. Collectively, these results highlight rapid symptom relief for sustained efficacy, further strengthening Lebrikizumab's differentiated pipeline. Let me turn it over to Karl for an update on our pipelines.
Karl Ziegelbauer: Thank you, Carlos, and good morning to everyone on the call. This slide shows you the status of our pipeline. Let me focus on the progress we made in the last month. We expect the approval of sarecycline in China still this year. Together with our partners, Sun Pharma and Eli Lilly, we continue to work on expanding the labels for our key products, Ilumetri and Ebglyss, respectively. Our partner, Sun Pharma announced in July the top line results of 2 Phase III studies to assess the efficacy and safety of tildrakizumab in patients suffering from psoriatic arthritis. Both trials met their primary endpoint at week 24 and are still ongoing for additional 28 weeks until completing the open-label extension. We keep you updated for next steps. Our partner, Eli Lilly has recently published data from an additional 32-week extension of the Phase III ADjoin trial at the 2025 Fall Clinical Dermatology Conference that indicates that lebrikizumab sustained similar levels of skin clearance when administered as a single injection of 250 milligram once every 8 weeks compared once every 4 weeks. This supports a potential less frequent maintenance dosing in patients with moderate to severe atopic dermatitis. These data build on lebrikizumab proven efficacy and demonstrate the potential for disease control with even less frequent dosing. Lilly has submitted this data from the ADjoin extension trial amongst other data to the FDA for a potential label update. As the regulatory and market access environment is different in Europe, we will stick to our label with a recommended 250-milligram lebrikizumab for weekly pathology. At the same time, we are investigating lebrikizumab maintenance dosing of 500-milligram administered once every 12 weeks as part of our ADhope 2 clinical trial. Together with our partner, Eli Lilly, we are running joint clinical development programs to make lebrikizumab available to additional patient populations. The different programs are well on track and a data overview can be found in the appendix. We have created an exciting early clinical pipeline addressing novel mechanisms and best-in-class compounds in high medical skin disease. In the coming 9 to 12 months, we plan to have initiated for proof-of-concept Phase II clinical studies across a spectrum of different dermatological diseases. Let me highlight some of the progress. For our anti-IL-1RAP monoclonal antibody called LAD191, we have completed Phase I single and multiple ascending doses in healthy volunteers. We have also explored pharmacokinetics, pharmacodynamics and safety in patients suffering from hidradenitis suppurativa and presented those data at EADV meeting in September this year. LAD191 was well tolerated and demonstrated a favorable safety and PK profile with patients with hidradenitis suppurativa. LAD191 showed a trend in decrease in neutrophil count. Furthermore, it led to downstream cytokine reduction and early signs of clinical improvement in HS lesion count. A Phase II study to explore the efficacy of multiple dosing regimens of LAD191 compared to placebo in participants with moderate to severe hidradenitis suppurativa has been started. Together with our partner, Simcere, we are developing a so-called IL-2 mutant Fc fusion protein to stimulate regulatory T cells as a novel approach to treat autoimmune kinase. We have recently completed Phase I and plan to start a Phase II study in alopecia areata within the next month. Our partner, Simcere has initiated a Phase II study to evaluate the efficacy and safety of this IL-2 mutant Fc fusion protein in subjects with moderate to severe atopic dermatitis. In summary, we're making good progress with both our early and late-stage pipeline programs. With that, I will hand over to Jon for the financial review.
Jon U. Alonso: Thank you, Karl, for the update on our R&D pipeline, and good morning, everyone. As Carlos highlighted earlier, company's consistent execution continues to achieve solid tangible results. In the first 9 months of 2025, Almirall delivered a strong performance with net sales growing nearly 13% year-on-year on track with the company's full year guidance. European dermatology portfolio remains the key growth driver in net sales, reinforcing Almirall's path towards leadership in medical dermatology. Gross margin moderated to 64.9% of sales in the first 9 months, reflecting ongoing pressure related to Ilumetri royalties. EBITDA for the period reached EUR 180.7 million, marking a 27% increase versus the same period last year, driven primarily by robust top line growth and a lower SG&A over net sales ratio. SG&A increased 6.2% to EUR 366.7 million, with the mentioned lower growth in the third quarter. However, as with previous years, we do expect a certain pickup in expenditure in the final quarter. R&D spending increased by about 14% year-on-year, representing 12.5% of net sales. The ratio of spending relative to net sales moderated this quarter following higher investment in Q2, keeping us on track with our annual target. We closed September with a net debt-to-EBITDA ratio of 0.1 after solid cash generation in the quarter. Our low leverage provides significant flexibility to pursue licensing opportunities and targeted both on acquisitions on an opportunistic basis. These results reinforce our confidence in delivering full year 2025 guidance and the midterm outlook shared earlier this year. For the full year, we expect to land near the midpoint of our guidance range for both net sales and EBITDA. Please keep in mind the tough comparison against Q4 2024 revenue when the company reported sales growth of 17%. In addition, as mentioned earlier, we expect a pickup in SG&A in the next quarter, which simply reflects a natural pacing of quarterly cost and sales trends. As a reminder, our 2025 guidance calls for net sales growth of 10% to 13% and EBITDA in the range of EUR 220 million to EUR 240 million. Let's move to the details of our sales breakdown on the next slide. The European dermatology business delivered a strong performance with net sales growing 24.5% year-on-year in the first 9 months. Additional details will be shared on the next slide. In general medicine and OTC, European sales were mainly impacted by the recent divestment of Algidol and the out-licensing of Sekisan. Excluding these portfolio changes, the segment remained broadly stable. A delayed allergy season in Ebastel continued erosion of Efficib/Tesavel and lower sales of minor products were largely offset by a solid contribution from Almax. On out-licensing, we expect full year income to remain broadly consistent with 2024 and prior years as these transactions are part of our ongoing strategy to maximize portfolio value, including the deals mentioned earlier. Performance in the U.S. declined and further details will be shared on the next slide. In the rest of the world, general medicine remained broadly stable, while dermatology saw a slight decline. Let's take a closer look at the dermatology business on the next slide. Our European dermatology business continued to prosper. Ilumetri exhibited its characteristic summer seasonality with flat quarter-on-quarter sales and healthy year-on-year growth. Ebglyss consolidated its position as a primary growth engine for the company. Meanwhile, we are actively building market share for Klisyri and Wynzora as the launches gain traction across key European regions. Ebglyss delivered EUR 75.5 million sales in the first 9 months as European markets scale up after launching in all key countries. This performance is in line with expectations and reinforces our confidence in the product robust growth potential. Both Skilarence and Ciclopoli maintained sales growth in line with prior years with a slight growth compared to the last year. In the U.S., performance declined year-on-year. While Klisyri's large field launch continued to generate growth, these gains were offset by persistent pressure on the legacy portfolio. Products such as Cordran Tape, Physiorelax and Aczone remain impacted by ongoing generic competition. Additionally, Seysara sales fell versus last year primarily due to a contraction in the overall oral antibiotic market for acne. In the rest of the world, dermatology sales dipped year-on-year, reflecting lower license income compared to 2024. Now let's review financial statements on next slide. In terms of P&L and once revenue has been covered, gross margin moderated to 64.9% in the first 9 months of 2025 as we continue to face ongoing margin pressure, primarily driven by higher royalty tiers linked to Ilumetri's growth. At 12.5% of net sales, R&D spending remained broadly in line with the same period last year with the third quarter reflecting a moderation in investment levels compared to the elevated activities in prior quarters. SG&A expenses increased 6% versus the same period last year as we continue to support these launches in new markets and other key products. As highlighted earlier, we expect SG&A to pick up in the final quarter of the year due to the typical seasonal timing of our marketing activities. Financial expenses improved year-on-year, primarily reflecting an EUR 8 million positive impact from the valuation of the equity swap driven by share value increase year-to-date. Finally, a reminder that our effective tax rate remains impacted by the inability to offset the U.S. tax losses against European profits, consistent with the full year guidance provided earlier this year. Please move to the next slide to take a look at the balance sheet. Our balance sheet remained very stable in the first 9 months of 2025 compared to the same period prior year as shown in the slide. Goodwill and intangible assets decline was driven by depreciation, which outweighed the impact of R&D capitalization and progress in our pipeline. In the third quarter, capital expenditures remained minimal, primarily related to the recently extended collaboration agreement with Simcere. Our net debt ratio remains low at 0.1, providing continued flexibility to pursue inorganic growth opportunities. The decrease in net debt primarily reflects solid cash flow generation during the third quarter. Let's take a look at the cash flow statement next. Company improved cash generation during the first 9 months of 2025 by EUR 44 million versus same period prior year. Cash flow from operating activities was EUR 146 million during the period, representing an improvement by EUR 40 million versus last year, mainly driven by material improvement of profit before taxes is slightly offset by working capital increase as our business grows. Cash flow from investing activities reached minus EUR 104 million, improving EUR 20 million versus prior year, driven by lower investments, mainly EUR 43 million in the sales milestone booked in 2024 partially compensated by milestones related to Wynzora and pipeline progress. Finally, cash flow from financing activities was minus EUR 43 million, an increase in cash outflows by EUR 17 million compared to last year, driven by higher cash dividend selected by shareholders and partially offset by the positive equity swap impact mentioned earlier. With this, I would like to pass the word to Carlos for his closing remarks. Thanks a lot, everyone, for your attention.
Carlos Gallardo Piqué: Thank you, Jon. As Jon confirmed, we remain on track to deliver our 2025 guidance and midterm outlook as we have a clear ambition to achieve our double-digit net sales CAGR through 2030 and reach an EBITDA margin of approximately 25% by 2028. We are poised to lead in a rapidly expanding medical dermatology market, leveraging a proven platform for sustainable growth. Over the past decade, we have built a foundation that combines scientific depth, operational excellence and a pipeline with disruptive potential, including several first and best-in-class assets. Together with our long-standing relationship with dermatologists and patient communities across Europe, which drive our relevance as a leader in medical dermatology, this strength represent a clear competitive advantage, positioning us to capture a meaningful opportunities for both growth and margin expansion. To translate this strength into sustained value creation. We apply a focused and prudent capital allocation strategy. We are investing in current and upcoming launches to drive midterm growth, actively strengthening our pipeline through internal R&D and in-licensing, maintaining a stable dividend policy and remaining open to targeted business development and licensing opportunities, all supported by a solid liquidity position. Our strategy of turning disciplined execution into solid financial results is encouraging. As we close the third quarter for 2025, momentum remains strong. Ilumetri and Ebglyss continue to drive double-digit total sales growth, reinforcing the strength of our dermatology franchise. Looking ahead, we expect further pipeline milestones in the coming months, adding depth to an already differentiated portfolio. We are committed to shaping leadership in medical dermatology in Europe, turning innovation into growth and delivering lasting value for patients and shareholders. With this, we conclude the presentation. And I hand it back to Pablo for the Q&A session.
Pablo Divasson Fraile: Thank you very much, Carlos. Nadia, back to you for the Q&A, please.
Operator: [Operator Instructions] And it comes the line of Lucy Codrington from Jefferies.
Lucy-Emma Codrington-Bartlett: Just a few pieces. Starting off with Ebglyss, please could you remind us, is the pediatric opportunity included in your current peak sales guide? And what's the overlap there with your current sales force? Or would that require additional SG&A investment? And then with Ebglyss with the peak sales guide, have you ever disclosed kind of what that implied penetration is would be of the European ATD market when you reach that peak? And then secondly, on your midterm guide, how important is the Klisyri inflection in terms of reaching that midterm? Or is it primarily driven by your 2 biologic therapies? And then finally, I may be looking incorrectly, but I couldn't find the IL-1RAP trial? And when might we expect the data from that to read out?
Carlos Gallardo Piqué: Thank you very much, Lucy. I'm not sure I got your last question about the anti-IL-1RAP. Is the question about what?
Lucy-Emma Codrington-Bartlett: It is when will we expect the data from that?
Carlos Gallardo Piqué: Maybe you can with this question.
Karl Ziegelbauer: Thanks a lot, Lucy for the question. As I mentioned, for our anti-IL-1RAP monoclonal antibody, we have just started a Phase II in hidradenitis suppurativa and we start getting data towards the end of 2026, 2027.
Carlos Gallardo Piqué: Thank you, Karl. And about your other questions, Lucy. So pediatric indication, yes, it's ongoing. It's an important part of our clinical study to generate further data. And yes, the potential of this population is already included in the peak sales estimate, and we don't expect further investment. We don't need further investment. We already have the necessary infrastructure to capture the pediatric opportunity. In terms of the peak sales, we have not disclosed the penetration, but we believe we have the best product in our hands. So it will be -- a we believe that at peak sales Ebglyss will be playing a very significant role in treating naive patients for moderate to severe atopic dermatitis. Lastly, your question about the midterm, the key is to realize the value on our -- on 2 of our biologics, Ebglyss and Ilumetri, that's what will drive our ambition to grow double-digit growth and the margin expansion. Klisyri and Wynzora will play a lesser role on that regard.
Operator: And the question comes from the line of Guilherme Sampaio from CaixaBank.
Guilherme Sampaio: Two, if I may. The first one on ADjoin and of course, the data was quite enticing. I appreciate the additional color that you provide on what you're doing. But you could provide a bit of time line for the options that you're following to obtain a label update? And the second question is a bit towards 2026. If you could provide us some initial indications on how you're seeing the year in terms of top line and EBIT expansion?
Carlos Gallardo Piqué: Thank you, Guilherme. The time line, I missed probably for ADjoin. Karl, can you take this question please?
Karl Ziegelbauer: That you mean -- Sorry, the ADjoin study?
Guilherme Sampaio: No, no, no. I mean so the efforts that you are undertaking to leverage on data that could be similar to ADjoin to obtain potential more favorable dosing...
Karl Ziegelbauer: Yes. AD is a chronic disease that requires chronic treatment. That's why generating data that shows a long-term efficacy and safety are very important. We are running a study that is called ADlong, where we will generate data on efficacy and safety of lebrikizumab for up to 5 years. We have recently published 4-year interim data that have shown that patients who have been well controlled after week 16 maintain a very good skin clearance and efficacy for up to 4 years. And we will have then 5 years data next year 2026.
Carlos Gallardo Piqué: And here about your question about the 2026 outlook, we have to be a bit more patient as we typically shared these expectations in February. But I think that Jon has provided already a highlight, right? You can comment.
Jon U. Alonso: As Carlos has mentioned, Guilherme, it's too early to provide detailed performance figures for 2026. I know that my predecessor, Mike used to share some high-level indications with you all ahead of the fiscal year results. So if some context can help, we can offer that we expect 2026 growth and EBITDA to be in line with the most recent midterm guidance. We expect net sales to remain into the double-digit territory. And please bear in mind that our midterm guidance does not include a typical M&A except beyond the usual portfolio optimization we do every year. We will see certain pressure in the gross margin as we have several licensed products that are subject to royalties, which means that actual margin expansion will happen at EBITDA level as sales are expected to grow more rapidly than SG&A expenses once the commercial infrastructure for Ebglyss has already been fully deployed in Europe. R&D expenditure or the net sales ratio aligned with the 1 shown in 2025 seems to be a fair proxy in the near midterm. So hopefully, this helps and we will disclose further details early next year.
Operator: And the question comes from the line of Natalia Webster from RBC.
Natalia Webster: Firstly, just a follow-up on Ebglyss. This continues to grow well quarter-on-quarter, but I was just curious to hear a bit more about how you're seeing the competitive dynamic evolving in Q3? And if the continued NEMLUVIO launch has impacted Ebglyss' market share in key European markets? And then my second question is on Efinaconazole following the approval in Germany in August. Are you able to provide some more details on your launch preparations and thoughts around growth potential for this product over the medium term?
Carlos Gallardo Piqué: Okay. Natalia, thank you for your question. So as I mentioned before, Ebglyss dynamics remain very favorable and in line with our expectations. We continue to receive very positive feedback from dermatologists, both in the more experienced ones in countries where we have launched already a number of months ago, but also in the newly launched countries such in France, the feedback form remains very consistent. So very good news. The majority of the prescriptions continue to come from naive patients, and that's very aligned with our strategy. So also confirmation of our expectations and good news there. In terms of NEMLUVIO impact, it's too early to say as NEMLUVIO has only launched in Germany, in Europe. So far, as we mentioned in other calls, we believe that new entrants will expand the market, and we remain confident, and that's based on the feedback of the dermatology community, that the anti-IL1 and anti-IL13 remains the key class to treat these patients. And also, we believe that IL-31 is more indicated for prurigo nodularis. But in any case, we believe that new launches will have to make even more noise and expand the market as only 10% of eligible patients that could be treated with advanced biologics or advanced treatments are only treated today with this treatment. So there's a tremendous opportunity to continue to help patients in this class that will lead to market expansion. On Efinaconazole, we are getting ready for launches in selected countries, and we will update you more probably in 2026. And -- but we will play a modest role in the contribution to sales at the end.
Operator: And the question comes from the line of Joaquin Garcia-Quiros from JB Capital.
Joaquin Garcia-Quiros: Yes. So the first one, there was a EUR 20 million -- a bit more than EUR 20 million positive impact in free cash flow from other adjustments. Just if we could have more color on what exactly was the cause of that? Then on M&A, would you consider now that I know is still on ramp up, but there's been a few years now since launch on a more relevant M&A acquisition or you're still targeting on smaller deals? And then lastly, could you have a bit of insight on to hidradenitis suppurativa and the alopecia areata market? Do you have some information on these? How big could this be for you?
Carlos Gallardo Piqué: Thank you, Joaquin, for the question. So I will leave the first one to Jon, but let me answer the second question from my side. In terms of M&A, we remain extremely focused on delivering value for the company in organic growth to make sure we maximize the penetration Ebglyss and Ilumetri. And of course, moving our -- the assets into POC, right? So that's where we dedicate a lot of our efforts. However, licensing and M&A continues to be an important part of our strategy. So far, now we are looking at bolt-on opportunities from an acquisition perspective and platform licensing from early and late-stage opportunities in all geographies. HS and alopecia areata, these are 2 areas where there's tremendous unmet need from a patient perspective, and that's based on strong feedback from the dermatology community. We are very exciting to have 2 assets that have potential to be the first and best in class. And we believe that if we get positive results and our target product profile is confirmed that we will have a therapies in our hands that will have a significant impact on the company, on the patient, but also from a sales perspective in the company. And we cannot -- now we're not prepared to provide more specifics here, but could be a major impact to the company is a target product profile is confirmed in the clinical trials. Jon, so for the first question, Joaquin.
Jon U. Alonso: It's Jon, yes. Sorry for the first question, Joaquin. Thanks for your question. Yes, the improvement you have seen in our cash flow statement relates to an advanced payment received during the quarter regarding a license deal for one minor product in our portfolio to commercialize this in the countries included in the Eastern Europe and Western Asia, most only in the Commonwealth of Independent States. There is no impact in the P&L as it will be recognized in the future years. I hope it helps.
Operator: And the question comes from the line of Jaime Escribano from Banco Santander.
Jaime Escribano: So a few questions from my side. Could you remind us the pediatric indication for Ebglyss, when do you think it can be launched? Or when could we have some impact in sales basically? Second, on Seysara in China, what could we expect here? Any news? And what's the potential in revenues? And then a little bit of housekeeping for the modeling. Can you remind us tax rate for this year more or less where could we stand? Also the milestones for 2026, if you can remind us? And a final question. Yes. My final question is a spicy one. I don't know if you will answer, but basically, when you see Bloomberg consensus at around EUR 280 million EBITDA for 2026, how do you feel about this figure? Is it something fair? Is it something ambitious? Or you feel comfortable with that?
Karl Ziegelbauer: Yes Jaime, this is Karl speaking. Thanks for your question. The pediatric study called ADorable 1 and ADorable 2 are run by our partner, Eli Lilly for the first one that covers participant 6 months to younger than 18 years. The Lilly expect primary completion in December this year and full completion in December 2026. And ADorable 2 is then the long-term safety and efficacy and the primary completion is expected in December 2027. Then after that, of course, there is the combination of the data, the submission and then the extension of the label before we then can finally launch.
Carlos Gallardo Piqué: Do you want to comment on Seysara China?
Karl Ziegelbauer: Yes. On Seysara, China, as I have mentioned in the presentation, we expect the approval of Seysara in China still within this year.
Carlos Gallardo Piqué: Thank you Karl. Jon do you want to take the other 2 questions from Jaime?
Jon U. Alonso: Thank you very much, Carlos. I think the first question regard -- related to the tax rate for this year. So right now, the tax rate is around 40%, which is a significant improvement versus prior year and is aligned with the full year guidance we provided for this year. We are working as hard as we can to try to be more effective here. But right now, I'm not confident providing any guidance for next year. We will just try to work and see how much we can improve. The other 2 questions regarding to 2026 in the sense of milestones and EBITDA. If we start with milestones, I think that, again, bear in mind for us, it is too early provide the detailed performance figures for 2026. But bear in mind, I think to assume certain milestone levels similar to 2021. Initially, it could be a good estimate, and we will provide further details in February 2026 when we disclosing the guidance. Regarding the Bloomberg consensus, right now, we are very positive about the performance of the company and confident in achieving our stated guidance. That's why we have reiterated it this quarter. Coming back to next year, it is still too early. But so far, we cannot -- I cannot tell you if we agree or we do not agree. It's a statement based by third parties. And what we have shared just in this call is that we expect to remain in the midterm range provided for the company. We will provide more information in February, so please stay tuned. Thank you very much.
Operator: Dear speakers, there are no further questions for today. I would now like to hand the conference over to your speaker, Pablo Divasson for any closing remarks.
Pablo Divasson Fraile: Thank you very much, Nadia. Thank you. As there are no further questions, ladies and gentlemen, this concludes our today's conference call. Thank you for your participation. You may now disconnect.
Operator: Thank you for joining today's conference call.